Operator: Hello. My name is Philip, and I’ll be your conference operator today. At this time, I would like to welcome everyone to the MediaAlpha Q4 2020 Earnings Conference Call. [Operator Instructions] And now I will turn the call over to your host, Denise Garcia with Investor Relations. Please go ahead.
Denise Garcia: Thank you, Philip. Our discussion today will include forward-looking statements about our outlook for future financial results, including our financial guidance for the first quarter and the full year 2021, which are based on assumptions, forecasts, expectations and information currently available to management. These forward-looking statements are subject to risks and uncertainties that could cause future results or events to differ materially from today’s guidance. Please refer to the earnings release we filed with the SEC on Form 8-K and the shareholder letter we posted to the Investor Relations section of our website today for a fuller explanation of those risks and uncertainties and the limits applicable to forward-looking statements. MediaAlpha will routinely post information that may be important to investors on our IR website, investors.mediaalpha.com. And we use this website address as a means of disclosing material information to the public in a broad, non-exclusionary manner for purposes of the SEC’s regulation fair disclosure. In addition, we will be referring to certain actual and projected financial metrics of MediaAlpha, which are non-GAAP financial measures. These metrics include adjusted EBITDA, contribution and contribution margin, and we present them in order to supplement your understanding and assessment of our financial performance. Non-GAAP measures should not be considered as substitute for, or superior to, financial measures calculated in accordance with GAAP. The most directly comparable GAAP measures as well as reconciliations of the non-GAAP measures to those GAAP measures are available in our fourth quarter earnings release. As a reminder, we published a shareholder letter on our IR website that we’ll refer to during this Q&A session. Now I’ll turn the call over to Steve.
Steve Yi: Thanks, Denise. Hi, everyone. As you saw in our shareholder letter, we’re pleased with our fourth quarter and overall 2020 results and we anticipate a strong 2021. We’re looking forward to discussing our most recent results with you. So we’ll open the call to questions now.
Operator: [Operator Instructions] Your first question is from the line of Frank Morgan with RBC Capital Markets.
Frank Morgan: Good afternoon. I guess, I’ll start with your commentary in the release where you specifically called the strength in your health insurance verticals in the record breaking OEP, that you’re AEP had just occurred. So I know in the DTC brokers, DMA brokers that we spoke, they commented a lot about in their fourth quarter results about this – the level of demand that they had gone out and created or bought. But at the same time in a lot of the city span there was also some chunkiness around breaking news stories in the presidential election. And so I’m just curious, how would that affect your business? Is that something you can capitalize up? Is that activity a benefit to somebody like MediaAlpha? Or is that a – how does that dynamic play out and what’s the opportunity there? And then I’ll ask a more specific modeling question.
Steve Yi: Yes. Thanks, Frank. Could you repeat the question were you asking whether or not the – I guess, the news cycle and the news of during OEP and AEP, whether that was a benefit to us at the marketplace?
Frank Morgan: Yes. Was that a benefit and there were some commentary about, there was a lot of chunkiness in their call volumes and sometimes they just physically couldn’t handle it. But yes, just generally speaking the effect of either elections or breaking news and any of those factors that could possibly happen during an AEP or OEP are those good or bad for your business?
Steve Yi: Right. Well, I think we saw a couple of things. One is that a lot of our supply partners did have – we’re seeing, media prices go up, because of the election. And so that negatively affected some of our supply partners. We did hear that. It did negatively affect some of our demand partners, who then increasingly had to turn to a channel like ours for customer acquisition because the media pricing in some display channels or native advertising channels had got up because of all the advertising related to the election. In terms of the chunkiness of what the news may have created in terms of consumer demand. I’ll be honest, we didn’t really see that. But one way it may have manifested itself is that the tail end of OEP and AEP for us, where there’s always a fair bit of activity came in a lot stronger than we were projecting. And so I don’t know if that goes to the observations that others were sharing with you, but certainly that aspect of what you’re describing. I mean, we did see and we did that as a trial.
Frank Morgan: Got you. Maybe a modeling question here. Certainly, when I look at the numbers for the first quarter and really all of 2021, it seems like at least relative to what we’ve modeled. The transaction value assumptions seem to be better or larger numbers, but the revenue seems to be generally in line with where we are. And I’m just curious, is there any kind of dynamic at work there that might explain that? Is there any changes and things like transaction value referral? Is there a mix change or just any color around sort of the dynamic between the revenue and the transaction value? Thanks and I’ll hop-off.
Tigran Sinanyan: Frank, this is Tigran. So you’re right to point that out. There’s a bit of a mix shift between open marketplace and private marketplace transaction value THAT’S reflected in the Q1 and 2021 guidance. Just a reminder that that business model met deployment exists, and we created it to support our at scale supply partners who want to work directly with demand partners. And we’ve seen a few of our partner’s kind of get to that scale and we facilitate those types of relationships, right. It helps us continue to grow the top line and continue to grow the contribution margin dollars. But it does create a bit of a shift between transaction value and GAAP revenue, and we call it GAAP revenue from private marketplace transactions, converts to GAAP revenue at a fractional rate, our take rate.
Operator: Your next question is from the line of Cory Carpenter with JPMorgan.
Cory Carpenter: Thanks for the question. Steve, maybe one for you and then I’ll ask a follow-up for Tigran. There’s something you could expand a bit on some of the trends you saw in the fourth quarter in the P&C vertical, and just how you’re thinking about the sustainability of that as the economy starts to reopen when miles driven in 2021.
Steve Yi: Hi, Cory. Thanks. Yes, so what we saw in the fourth quarter for our P&C vertical was just the continued strength of the demand in that vertical. As you know, if you follow the sector at all the fourth quarter is typically a seasonally down quarter. And so to see demand, go up and Q4 and P&C, certainly for us was not something that we were anticipating, but obviously very happy to see. And I think that speaks volumes for just the strength in the demand that we saw in the market in 2020. In 2021, what we’re expecting is that the new baseline that’s been set in 2020 will remain and that the growth will be back to more historical growth levels. I think what 2020 did, particularly for the property and casualty insurance space has really accelerated the adoption of direct-to-consumer online channels. And you’ve heard that elsewhere. You’ve heard us talk about that. But what we’ve seen is that as a lot of offline channels have come back, offline marketing channels and customer acquisition channels like TV and sports marketing. We’ve seen the level of investment in our channel continued to go up from a lot of the carriers who made accelerated their investment into our channel with shelter in place, back in March and April of last year. And so for us, we think that that’s a very good sign that the growth that we saw in 2020 will stick around and form a new baseline upon which we’ll grow. And I think that’s what our forecasts reflects.
Cory Carpenter: Thank you. And then here in the shareholder letter, you mentioned you expect to invest aggressively this year. So just hoping you could expand a bit on some years key investment priorities. I think you mentioned employee hiring and then maybe just some of the puts and takes and how that impacts margins this year.
Tigran Sinanyan: Sure. The hiring plan is as you’d expect from us is about product and technology investments. I would say, relative to many other companies, those will still look modest because the operating leverage in our business continues to be high. We’re also investing in the agent channel and that requires more head count, sales oriented head count. But again, what we’re seeing is that our sales and marketing costs relative to revenue, right, will remain in that healthy 2% range. From an overall margin perspective shift, we don’t see our head count plans and hiring plans really affecting the EBITDA margin. What you’re seeing there in 2021 is reflective of public company costs increasing year-over-year, right? In 2020, we had two months of that, in 2021 you’ll see the full year effect of that.
Cory Carpenter: Okay, great. Thank you both.
Steve Yi: Thanks, Cory.
Operator: Your next question is from the line of Mike Zaremski with Credit Suisse.
Unidentified Analyst: Hey, this is – hi guys, this is Charlie on for Mike. I guess, first can you tell us whether there were any new carrier additions in the fourth quarter that maybe help growth or any other dynamics you could call out?
Steve Yi: Hey, Charlie. No, no one notable who are new in Q4. I mean, remember that we’re already working with all of the major carriers in all of the insurance sectors that we’re in. And so for us, the growth is really coming from growth from existing partnerships and the day-to-day focus that we have and delivering value to our existing partners.
Unidentified Analyst: Got it. And then I guess, just on the contribution margin. Is there – is this kind of like a good run to think about now, or are there – I guess, you mentioned that the private versus open shift. Is there anything that would impact the contribution margin in 2021.
Tigran Sinanyan: Hey, Charlie, I think this is a good run rate to think about and our guidance reflect all the kind of puts and takes that we expect to impact contribution margin. Remember part of the driver of that is going to be mix and mix of supply and mix and vertical. So in Q4 you saw that contribution margin increased sequentially to 16.2% from 14.3%. Part of that is the open enrollment periods for helping Medicare and the seasonal uptick there. And from here forward what we’re modeling is the mid 15% range for contribution margin. We think that’s appropriate.
Unidentified Analyst: Got it. Thank you. That’s helpful. Thanks, guys.
Steve Yi: Thanks, Charlie.
Operator: Your next question is from the line of Michael Graham with Canaccord.
Michael Graham: Good evening, guys and congrats on the great strong finish to the year. A quick follow-up on one of the earlier questions, first please, which is this dynamic of transaction value growing faster than revenue seems to be most pronounced in Q1, just based on your guidance and then it looks like it moderates as we go through the year. Do I have that right? And is there a story to tell there or anything to focus on?
Tigran Sinanyan: Hi. This is Tigran. You’ve got that right. So the dynamic there is, as partners reach a certain scale, I think we’re agnostic to whether they’re looking with us through our open marketplace or private marketplace. As they scale, both facilitate those relationships and we’ve seen a bit of mix move to the private marketplace, and that’s a reflection of the demand side environment. And that demand side environment, we expect to remain strong. And what that does is then drive new supply partners into the ecosystem, which will largely be open marketplace. So it’ll then moderate and kind of back come back to a 70-30 split between open marketplace transaction value and private marketplace transaction value. And we’re really focused on growing that key top line metric, right. That represents the growth investment in customer acquisition from all of our partners and it looked like our share in the broader market.
Michael Graham: Okay. That’s helpful. Tigran, thank you. And then a broader question, if I could. Your guidance, pretty rapid growth in Q1, I’m looking mostly at transaction value and then a much lower growth rate for the full year kind of leads me to believe that there should be a good opportunity to outperform that guidance, as my interpretation. But as we look at the growth rates you had for some of your verticals exiting this year 76% in P&C and 46% in health and 27% in life. Could you maybe just at a high level talk about when you thought about the guidance for this year growth rates in those verticals, like relative to how they did sort of exiting this year, do you expect them all to slow down, the same amount or some to kind of grow faster? Or are there any high-level thoughts you could share around the verticals as we go through the year?
Steve Yi: Yes. Michael, it’s Steve. At a high level, I think what you’re seeing in our numbers in our forecast is, us starting to overlap periods when we did see a rapid acceleration of investment dollars going from offline marketing channels to online, that was in part, by in large part due to COVID. And so, as I mentioned earlier, I think we do expect growth to normalize and we’re expecting a very good year and we expect growth to normalize on the baselines that were set in 2020. But at a high level, I think that’s really what you’re seeing in terms of the growth rates on a quarter-by-quarter basis.
Michael Graham: Okay. Thanks much guys. Have a good night.
Steve Yi: Thanks, Michael.
Operator: Your last question is from the line of Daniel Grosslight with Citi.
Daniel Grosslight: Hi guys. Congrats on the strong end to the year and really appreciate the economy cost. I guess, going back to the Health segment question, I’m curious what’s built into the guidance in 2021, as we think about AEP for plan year 2022, given we might be a return of more face to face sales in the agent first. Help us think through next year’s AEP.
Steve Yi: Next year AEP, are you talking about the 2020 – you’re talking about 2021.
Daniel Grosslight: 2021 AEP for plan year 2022.
Steve Yi: Yes, understood. Listen, I mean, yes, I think there’ll be some of that, right. But what we’ve seen in our online only processes for some Medicare products, we’ve seen the growth of online applications and online shopping processes from the new cohorts who are aging into Medicare. And we’re seeing that at higher levels than the older cohorts. And we’re seeing a greater propensity for these newer cohorts to opt for Medicare plans or privately nursed Medicare plans, most notably Medicare Advantage. And so, I think you’re right. There will be some reversion back to face-to-face shopping. But I do think that a lot of the positive trends, the secular trends will continue and we’re expecting for a very good AEP this year.
Daniel Grosslight: Got it. Okay. And then as we think about the other segment, it seems like folks are itching to start traveling again, and the backlog has been going well. Can you back that what’s assumed in travel for 2021.
Steve Yi: I would say, at a high level little, it’s really because, we do see the numbers on our side ticking up. If you look at the TSA stats, you’ll see our numbers going up in line with what you’re seeing in terms of U.S. domestic air travel. But I think it’s still too early to say exactly what the timing of that return is going to be whether what the second half of this year is going to look like and whether it will take six months or nine months for things to get back to normal or it will take 24 months.
Daniel Grosslight: Okay. But safe to say a reversion to normalcy has been baked into your 2021 guidance.
Steve Yi: That’s right.
Daniel Grosslight: Okay. And then lastly, I saw the rollout of the new agent channel on your website, it looks like an interesting product. Can you just talk about what you’re assuming for contribution in that channel, the agent channel for 2021? And which segment that will largely show up in?
Steve Yi: We’re not anticipating strong financial contribution from that business this year. We’re focused on innovation – product innovation. We’re working with a few hundred agents already that we’re focused on getting their feedback and really finding a new way to serve this important market. In terms of when you start to see that impact layer in where you’ll see it first is in the P&C.
Daniel Grosslight: Got it. Okay. That’s it for me. Thanks guys.
Steve Yi: Yes. Thanks.
Operator: Your next question is from the line of Cory Carpenter with JPMorgan.
Cory Carpenter: Hey, sorry. I just wanted to squeeze one more in. Maybe I wanted to go a little more on the agency channel. I mean maybe could you just talk at a high level about the opportunity you’re going after there. And then as we think about the next year, I know you’re not expecting much revenue, but just in terms of rollout, what could it look like? Kind of where are the key learnings so far? And then what are some of the upcoming milestones for that business? Thank you.
Steve Yi: Yes. The high level story there, Cory is that as much as we talk about direct-to-consumer, as much as we talk about insurance carriers and P&C going direct, and then other sectors going direct, while over half of auto insurance policies are still so courageous right now. And so it is an important market. It is an important distribution channel that will remain. So it’s just the channel that we haven’t worked with. As you know, some of the other publicly traded companies in our space, they have roughly 40% or so of their insurance revenue coming from the work directly with agents. And so the reason that we’re getting into it is because we think that there’s room for innovation here and to do things differently, and to make the same kind of – had the same kind of transformative effect with our approach to the space that we had when we first entered into the space working directly with insurance carriers. And so in terms of milestones, really for us, what we’re focused on is just building a better product, having a better experience that agents have giving them more control over exactly how they’re connecting with consumers. Right now, I think if you ask anyone in this space, that consumer experience is not good. And so I think if you’re looking for directionally what kind of innovation that you’re going to see from us, it will all start with having a better consumer experience with any agent who buys leads from a current lead generator will tell you that a good consumer experience results in a good referral and a bad one results in the bad one. And right now there’s just way too much bad consumer experience right now for the leasing calls that are being generated and sold by agents.
Cory Carpenter: Helpful. Thank you.
Operator: Your next question is from Mike Zaremski with Credit Suisse.
Mike Zaremski: Hey, thanks. I jumped on late, but I have one question as a follow-up to Cory’s on the agent channel. That curious if you can give us any color on the TAM of the current agent lead channel, is that – are there are a lot of competitors there that are doing this? Or is this a small space currently that is this mostly kind of greenfield opportunity that you guys are going to try to open up? Or is it part of both?
Steve Yi: No, I think they’re – I think the best way to think about the baseline TAM is to look at the publicly traded companies in our space, companies like the lending Chase Insurance Business never go and apply that percentage, I mentioned about 40% or so of the revenue coming from P&C insurance as being from agents. And then you do have a number of large private companies who are focused on this space. And so it’s a big part of the marketplace. I mean I think you can look at it as if half or so, or more than half of insurance policies are still being sold through agents. I think you can think about the total addressable market opportunity in those terms, in terms of just how much marketing spend there is in P&C insurance.
Mike Zaremski: Okay. And just following up, is there – I think we understand your analytics are probably better than a lot of your peers, but when the agent – let’s just say, you put a quote in from an all set agent, when an agent is considering lead options. I think price is one factor, when you say that your leads might be more price competitive versus your competitors. Or is there can – on each kind of special sauce to kind of why your lead generation software might be a little bit better than others?
Steve Yi: I would say, well, I’ll answer the price question, first, which is I think that one difference is that the agents are going to have full control over exactly what they want to pay. And that’s not always the case right now, usually in this case, they’re price takers. And we’re just not big believers in that as a long-term business model. In terms of what we’ll do differently, I think what you’ll see is that, because we don’t have the burden of beginning to come to this space and having revenue and generating revenue on a lot of revenue from a business model that’s based on a suboptimal consumer experience. I think that you’ll see us innovating and providing for a way to refer and connect interested shoppers with agents in a much more consumer friendly way. And that’s going to naturally lead to, I guess, higher quality referrals or leads. And in that case, and then if there are enough agents there to create a competitive marketplace, then they’ll send out whatever they feel is appropriate for every lead coming through.
Tigran Sinanyan: I can tell you right now that the pricing that’s the issue, it’s the quality of the leads and what they get. You should not have to sit through 100 leads and 100 consumers that you’re accessing through this model now to get one policy or two policy.
Mike Zaremski: That’s fair. We’ve heard many agents talk about the leads just didn’t pan out. But they wasted money, I guess, would be better…
Tigran Sinanyan: Absolutely. Absolutely.
Mike Zaremski: All right. Well, thank you very much. And looking forward to learning more throughout the year.
Tigran Sinanyan: Yes. Thanks, Mike. Good luck.
Operator: And there are no further questions. That does conclude today’s conference. Thank you for participating. You may now disconnect.